Aude Rodriguez: Good morning, everyone. This is Aude Rodriguez, Head of Investor Relations. Thank you very much for joining our conference call today. Francois Jackow and Jerome Pelletan will present the First Half 2022 Performance. For the Q&A session, they are joined today by Mike Graff and for the first time, Pascal Vinet, Senior Vice President In Charge of Europe Industries and Africa Middle-East. In the agenda, our next announcement is on October 22 for our third quarter review. Let me now hand you over to Francois.
Francois Jackow: Thank you, Aude, and good morning, everyone. It is my pleasure to be with you today to share our strong performance in the first half of 2022. Our business model not only again demonstrated its resilience to a challenging environment, but delivered growth across a number of metrics, which I will address in just a moment. Before we start, I would like to remind two main events over the past six months. First, the successful launch of our midterm strategic plan advanced in March; second, the transition in terms of new governance for the group. Let's start with slide three to show how we delivered a very strong performance in the first half across all criteria. A strong comparable sales growth of 8%, plus 50 basis points of margin improvement, excluding the energy pass-through impact and despite the inflationary context. More than 20% of recurring net profit at constant exchange rate, a strong leverage, a high cash flow above 23% of sales, excluding energy, and the project activity remained strong, as reflected by the €3 billion of backlog of signed projects, which positions us very well for future growth. In terms of performance, we ticked all the boxes in the first half. And this is not to mention the return on capital employed at 9.7% at the end of June, very close to the 10% of the advanced objective for 2023. This was thanks to the outstanding commitment of the teams worldwide, their focus on value creation and thanks also to a business model balance for both resilience and growth. This was, of course, needless to say, despite a very challenging environment. Indeed, we faced many headwinds over the last few months. First, the unprecedented spike in energy prices. It means for us more than €1.8 billion of additional energy cost that we managed to pass through our large industry customers. It is already above the 2021 full year figure. So this is quite substantial. We also faced accelerating inflation, it amounted to more than €750 million additional cost. In the context of high inflation, we have proven our strong reactivity by increasing our prices in Industrial Merchant, reaching plus 14% in Q2 globally, a record high level. We managed to overcome many challenges. To name a few, the COVIN-19 lockdowns in China in Q2, the supply chain constraints with limited direct impact on L'Air Liquide, but really creating disruption for some of our customers. Also, workforce shortage in some regions and of course, the war in Ukraine with many indirect implications. Our food performance in search a challenging environment shows one more time, the strong resilience of our business. The performance of this first semester is well in line with the ambition we set out in our advanced plan. I am now on Page 5. Indeed, we delivered on financial performance in H1 as we just have seen, but also on extra financial performance. I will come back to the first one, decarbonizing the planet in more details as we have made very significant progress. But let's talk about the second one, developing new markets through innovation. Electronics is a strong growth driver again in H1, and the portfolio of projects remained very effective. In health care, we are launching value-based offers in selective countries and it is a way to transform the home care market. As acting for all is concerned and still in health care, the teams remained committed to fight against the COVID-19 in the regions where the virus is still active. Also, our contribution to the global fight against climate change, has been recognized with the SBTi validation of our CO2 trajectory, the first and only validation we see in the industry so far. By the way, we just learned yesterday that the Climate Action 100+ initiative has also recognized the significant steps we have taken in the past months towards climate. I would encourage you if you want to go and check their website. Let me zoom in on the first objective around decarbonizing the planet and supporting the energy transition. I am now on Slide 6, which is crowded but represents the numerous successes we had. The first six months of the year has been very active with tangible projects and many achievements in carbon capture several projects received European funding, making them ready to be launched. The development of electrolysis with two projects of 200 megawatts each to produce green hydrogen and the announcement of the creation of the manufacturing joint venture with Siemens Energy. H2 mobility projects are expanding not only in Europe but also in Asia and Americas. They deal with the development of infrastructure for airport and for trucks or production of liquid hydrogen. We also signed two renewable energy sourcing contracts during the first half in the Netherlands and in Italy. In a time where not only environmental impact, but also security of supply are becoming key, we are clearly leading the industry, taking significant position in various industrial markets. Before I conclude, I would like to talk about resilience that is so important in the current environment. As you know, resilience has been a trademark of Air Liquide, thanks to a strong business model illustrated by long-term contracts, take-or-pay closes, fixed revenue from rentals and also a high diversity of business reach in terms of geographies, activities, end markets but also customers. Advance is reinforcing this resilience by, first, positioning Air Liquide on growth markets, energy transition, electronics, health care, relying on very strong fundamental drivers, but also advance is reinforcing this resilience by focusing the entire organization on performance as illustrated by our results on pricing, cost containment and portfolio management with notable. So to conclude, the key takeaways of this first half of 2022 are first, with reinforce resilience, thanks to focus on performance and a strong positioning on growth markets of the future. And then – we delivered growth and prepare future growth with concrete progress in energy transition and electronics. On this basis, we confirm the 2022 guidance. And now Jerome please could you explain in more details the H1 performance. Jerome?
Jerome Pelletan: Thank you, Francois, and good morning, everyone. I suggest that now we review our numbers more precisely. So coming back to the first half year, and I am now on page 10. Group sales have been very strong overall on a comparable basis, excluding energy pricing, ForEx and significant scope effect. Indeed, Gas & Services sales for H1 are showing a strong plus 7.2% increase versus last year, following a Q1 at plus 7.1%. Engineering & Construction sales have increased by plus 29% in H1 compared to last year. Order intake has ramped up to reach €526 million in the first half year, high level close to what we had end of H1 last year. Global Markets & Technologies have seen a dynamic activity with plus 14% comparable growth, boosted again by our biogas activity. So overall group sales are up plus 7.7%, on a comparable basis for the first half, while published sales are very significantly up at plus 31%, supported by a strong impact of the spike in energy price during the semester, which translates into a 16.8% energy pass-through effect in our activity for the first half. Also impacting by a positive ForEx effect of plus 5.8% and with a significant scope effect of plus 0.7%, due to the takeover of the Sasol ASU in July 2021. Specific to Q2, we saw very strong comparable growth at plus 7.5% after a very good Q1 at plus 7.9%. So when we look at Gas & Services growth only, and I'm now on page 11, overall geographies are posting a high growth versus last year to reach a 8% comparable year-on-year for group sales. From a business line, sales growth remains high in Merchant and Electronics, while Healthcare reflected the strong comparable basis last year due to COVID and large industries are more contrasted. To be added, again, this comparable growth of 8% doesn't take into account the acquisition of the 16 ASUs of Sasol in June 2021, which are reported again in significant scope to contribute another plus 0.7%. Let us now review the activity for each of our main geographies. My comments will be mainly rotated to Q2. I am now on page 12. After a strong Q1, Americas has also seen a dynamic Q2 with sales at plus 9.5%. Large industry volumes have been strong in the US Gulf Coast in air gases mainly in steel and chemicals, supported by two startups. Oxygen is down versus a high Q2 2021 due to one-off freeze impact last year. Hydrogen sales in Latin America were solidly supported by startup and ramp contribution. In Merchant, sales are significantly up. Our pricing power is confirmed with an acceleration at plus 13% versus last year in conjunction with rising inflation. On a volume standpoint, gases and hardgoods are following end market trends and are well oriented, benefited also from construction recovery in the US with the exception of helium, which is impacting by a shortage in global supply. Health care activity has been solid, despite a strong basis last year due to COVID. In the US, volumes in medical oxygen and proximity care were solid. Finally, in Latin America, oxygen sales have normalized after the COVID peak last year with home health care still continuing at high levels. Finally, health care sales are growing strongly with positive contribution from all segments in carrier gas, equipment and installation and specialty materials. In Europe now, we have seen a strong growth at plus 6%, supported by record pricing in Merchant, offsetting lower demand in large industry and despite a strong basis in health care last year due to COVID 19. Large industries have seen lower demand in all sectors with numerous customer turnarounds, notably in HyCO and some refineries using lighter crude oil with lower hydrogen consumption. In Merchant, the spike in energy costs and overall inflation has again been successfully mitigated with a record historical pricing effect accelerating at plus 22%. Sales have grown in all end markets and on a volume standpoint in Merchant, those are slightly positive, mainly packaged gases. Finally, health care sales have remained robust, thanks to strong home health care, notably thanks to diabetes, boosted by volume and an acquisition in Poland and also we have strong specialty ingredients. Medical oxygen demand is normalizing compared to last year, high basis to 5%. In Asia, I am now on Page 13, despite COVID-19 lockdown in China in April and May, we have seen strong growth overall, driven by high momentum in Electronics with sales up 7%. In Large Industry, sales are back to a positive trend with the still soft China impacted by lockdowns. In merchant, we have also seen an accelerating pricing effect at 7% mainly in China, but also in Japan, Australia and Singapore. On the volume standpoint, China has been impacted by lower volumes due to COVID, but in fact, finished it well. We saw improved demand in Singapore. Finally, electronic sales of buoyant and have not been impacted by COVID lockdown brands in China, recurring sales at very high, plus 17% driven by strong carrier gas with positive impact from start-up and ramp-up of several units. Advanced Materials trades are also strong across the region. Finally, equipment and installation sales are also booming, especially with our key customers. Finally, in Africa, Middle East, large industry sales are up, supported by strong demand in Saudi Arabia in Yanbu. The contribution of the Sasol takeover is strong and aligned with expectations and as a reminder, accounted for a significant perimeter. Sales in merchant are slightly negative following small divestiture in the Middle East and this with good pricing at plus 5%, while health care is following the normalizing demand in medical gases after COVID impact last year. I will now comment our Q2 activity by business line. I am now on Page 14. In Merchant, pricing has been record and volumes resilient. Pricing indeed has continued to accelerate in all geographies to reach plus 14.4% in Q2 to address the unprecedented spike in energy and other costs showing again our strong ability to implement faster pricing company that quickly participated to pass through this cost. Volumes are resilient, especially in Europe, but are hampered by helium shortage. In regards to the end markets we serve, food and beverage, fabrication and electronic convergence markets are dynamic, while craftsman and research are soft. On the large industry business line standpoint, activity has been contrasted. Americas has been solid with high air gases volume from steel and chemicals, especially in the US Gulf Coast, while Europe has seen lower demand in all sectors impacted by customer turnaround and lower hydrogen demand. Asia has been soft, notably in China due to lockdown impact, lastly in South Africa, Sasol air should takeover is fully delivering according to expectations. Page 15, electronics activity is still very much booming. Indeed, momentum in Electronics is very strong in all segments with over plus 17% growth in Carrier gas, Specialty Materials, Equipment and Installation. This growth is supported by significant contribution from start-up and ramp-up and to be noted a strong pricing effect in Specialty Materials, driven by rare gases. Finally, in Healthcare, despite a high comparison basis last year due to COVID-19, sales are driven by dynamic Home Healthcare. Lower volume overall for COVID-19 medical gases have been largely offset by strong sales in proximity care in the US. Home Healthcare growth continued to be strongly supported by diabetes and the contribution of an acquisition in Poland. Finally, Specialty Ingredients are also dynamic and on a pricing standpoint, this has improved and is positive in all regions. On Page 16, our performance improvement has been again demonstrated by operating margin being up 50 basis points for both the Group and Gas & Services. This is excluding the impact of the increase in energy passed through in large industries. Getting into the details, we can see that purchases and other costs have been impacted by the increase in energy price as well as inflation which is also an increase in personnel expense. Depreciation is all managed, the impact of start-up, including the Sasol impact being well offset by drop during the year. This has resulted in an operating margin, excluding energy at 18.5%, which is 16.1% as published, of course, due to the energy dilutive effect, again, a significant plus 50 basis point increase, excluding energy price impact. This margin improvement shows the strength of the business model and our performance overall, all the more that it compares with a high basis effect last year and despite the mechanical dilutive effect of the energy rice and overall inflationary increase in our Merchant sales. Page 17. This margin improvement is supported by our structured margin improvement plan that continues to deliver. As you can see, pricing has significantly accelerating again in our regions at a fast historical pace. We'll come back in more detail in the next slide. We have also ramped up our efficiencies in Q2 to reach €167 million in the first half, despite the significant adverse effect of inflation on our procurement activity. As you know, however these costs are not reported in efficiency, and they were significant and contributed positively to the performance in the first half. Portfolio management has been further pursued. We executed three divestitures and closed eight bolt-on acquisitions over the period with our continued focus on profitable and margin accretive opportunity. We keep a strong focus on margin improvement, working on all possible levels. As you can see on Page 18, our pricing campaign iin Merchant has significantly accelerated in every geography to reach plus 14.4% overall in Q2. Our pricing campaign has been again executed in a very quick and in efficient way with record impact mainly in packaged gases, leveraging on our escalation formula, surcharges and pricing actions to address inflation and passed through the spike in energy costs. In Q2 alone, Europe achieved a plus 22% year-on-year pricing impact, a record loan mark with pricing strong in bulk, while the Americas delivered a plus 13% and with a notable sequential acceleration in Asia at plus 7%, mainly in China year-on-year. Let us now review quickly the bottom of the P&L I am now on page 19. Non-recurring operating income and expense have been impacted mainly by two exceptional non-cash items for a net impact of minus €270 million. First, we took a controlling stake in one of our large joint venture in China, which triggered the revaluation of the asset with an exceptional non-cash book gain of around €200 million. Then we adjusted down the value of Russian assets and recorded an exceptional non-cash provision amounting to approximately minus €400 million. Net financial costs are stable, following the progressive deleverage. Cost of debt is only close to last year's H1 2021 level at 2.96%. On an effective tax rate standpoint, our ratio is also stable at 25%. As a result, while net profit as published is up at plus 5.3%, recurring net profit is significantly up at plus 20%, excluding efficient, excluding major exceptional items that has no impact on the operating income recurring in H1 in line with our guidance. On page 20, as mentioned before, cash flow has been also very strong at plus 11.5% at constant FX, which is 23.5% of sales, a plus 60 basis points versus last year if we exclude the energy effect, which provide the capacity to finance dividends of €1.6 billion and a high-end industry and financial CapEx at €1.5 billion. Net debt is stable at €12 billion versus last year, despite a negative €500 million currency effect. Our gearing is now at 46%. Page 21, the 12 months portfolio of opportunities remain at a very high level of €3.3 billion, despite the very good level of decision for the quarter, supported by both energy transition projects, above 40% and a high proportion of electronic projects. Our industrial and financial decision for the semester has still been dynamic and selective to reach a very strong level at €1.8 billion. Finally, our investment backlog is still very solid and very high at €3 billion and despite major start-up during the quarter, representing €1.1 billion of additional sales after ramp-up. I am now on page 22. We got about €213 million sales contribution from start-up and ramp-up during the first semester and we expect to reached a full year start-up and ramp-up contribution to sales between €410 million and €435 million, including €35 million from Sasol accounted for in significant perimeter. Page 23, cumulative effect of strong results and cash management are delivering a return on capital employed of 9.7%, recurring at the end of June 2022. As you can see, we are very well on track to reach our advanced objective to meet double-digit level, ROCE by 2023, as we announced during our capital market base in March this year. To conclude, on the basis of our strong performance in the first half of 2022 despite adverse effect in H1 we confirm our guidance for this year, it's totally in line with our advanced strategic objectives presented in our CMD last March. Again, thank you very much for your attention.
Francois Jackow: Thank you very much, Jerome. So now we open the floor for Q&A. So as usual, I mean, we'll take the question in order. And I think we start with Andrew. Good morning, Andrew. Yes, go ahead.
Q –Unidentified Analyst: Yeah, good morning. Thanks for taking the question. I was intrigued by two things. Firstly, on Industrial Merchant, I know volumes were down 1%, and you said they were broadly flat, excluding the helium effect. Does that market like loss to market share, I'm thinking of the demand destruction from that 14%, impressive pricing. Just wondering what your thoughts are on what is obviously a more fragmented marketplace? So that's the first question.  And the second question is on the backlog. I hear what you're saying on the effectively effective start-ups coming out of the backlog. But I saw in the original press release this morning that there's a reference to Russian projects as well being excluded. So, I wondered if you could just detail the effects of the two things?
Pascal Vine: Thank you. Good morning, everyone. On the question on IM volumes, globally, slightly down and flat or slightly up, excluding helium. On the European side, the only comment I can make is that, we have slightly up volumes. Globally, we don't see anything that would be any -- lot of market share. I think despite a very high pricing environment. So no, I don't think we have any pricing -- any market share slippage, any fragmentation of market I don't think we see that at all.
Francois Jackow: Thank you, Pascal. Mike, do you want to give some comments for the Americas, and especially North America?
Mike Graff: Sure. Thanks, Francois. Good morning, everybody. Good morning, Andrew. Just to build on Pascal’s comments, clearly we saw a very strong pricing. But actually, we saw growth in industrial volumes clearly led by hard goods, but in gases as well, which were offset by the helium volumes, which is why you don’t see the full effect. But the reality is I think we are clearly seeing demand continue in manufacturing. We're clearly seeing demand in metal fabrication and rising demand in construction. I think in each of those areas, there is a very clear driver, some of which for manufacturing comes from pent-up demand that has not been met due to supply chain issues or due to labor shortages. And that demand continues to be there, especially for the durable goods. And in metal fabrication, I think there's a lot of drive right now, both in terms of automation, which we initially saw with some of our large customers, but now smaller and medium customers are looking more to invest in automated systems. And in general, I think whether it's fabricated metal products, construction machinery, automotive, everything is continuing to grow, and it looks to be that way going forward.  And then finally, in construction in that sector, I think construction starts over the last year of 160% over the prior year. and there's just incredible growth associated in the construction sector, whether that's for the electric vehicle ecosystem, whether that's for semiconductors, LNG, restart of some of the chemical projects that were deferred and some new projects coming up, and we haven't even seen what's yet to come with the Bipartisan Infrastructure act, and we'll probably see the impact of that later this year and clearly in 2023.
Francois Jackow: Thank you, Mike. And maybe just to complete, I mean, the global view. One comment on Asia and more specifically on China, because overall, I mean, we see a positive sales growth in China or industrial merchant, more in Q1 than in Q2. But if you look at, specifically the volume, this is clear that due to the regional lockdowns, the volume has decreased in some cases in China for industrial merchant. However, if we just step back, we see that overall, the business has resisted very well. And I think this is due to the fact that we are getting stronger and stronger in packaged gas and on site, which have resisted much more than the bulk business in China. But -- so, slightly decrease, but nothing dramatic. Again, mostly in Q2 due to the lockdown. So that's for China and for the volume. So, all in all, you see that the volumes are holding fairly well in the different region. We have to be vigilant, of course, but it's holding fairly well. Jerome, do you want to talk about the backlog?
Jerome Pelletan: Yes, of course. Thank you very much, Andrew. So indeed, we have sustained a strong investment backlog in Q2 at high €3 billion, as you noted versus €3.2 billion in Q4 2021. So the decrease is that you mentioned, is following -- is clearly due to the high level of start-up in Americas, and as you mentioned, the exit of two Russian projects also from the backlog, that makes the different effect.
Unidentified Analyst: Thank you
Francois Jackow: Thank you, Jerome. Thank you, Andrew. We can take the next question
Operator: Next question comes from the line of Alex Jones of Bank of America. Please go ahead.
Alex Jones: Very good morning. Thanks very much for taking my questions. I’ve two if I may. The first, just on the energy crisis in Europe. Could you walk us through some of your contingency planning and what they're doing to make the businesses more resilient such that you can maintain continuity of supply to customers as much as possible through the winter? And then the second question related to that, clearly in the first half, you've had a high level of investment decisions as customers look ahead at got an uncertain macro environment, is that affecting at all that willingness you think in the second half to continue centering such projects? Thank you.
Francois Jackow: All right. Thank you very much, Alex. I will let Pascal comment about the European situation and what we are doing to make sure that we have a safe winter.
Pascal Vinet: Thank you. Actually, of course, a very good question on a topic we pay a lot of attention to and that we currently discussed with our customers and also with the public authorities in the different European countries. Maybe I -- I’m going to make a few comments and explain why we expect to be very resilient in the current environment. First, on the energy prices, as you know, we pass them through. So we are not exposed to the energy price aspect of the current situation. On natural gas, we use natural gas in our operations for our ICO business and for Cogent business. The way we source currently natural gas in Europe, we have no direct exposure to Gazprom, and we have no direct exposure to Uniper. We actually have a diversified sourcing with, we think, very limited exposure to Russia. Now, we also believe that in many cases, our plants, ICO are supplying refineries. Cogent are producing steam and electricity. And they will be in most countries considered essential or strategic by the public authorities. In terms of geography, we have way more assets in less exposed countries, Benelux, France and Spain than in Germany, which is probably the most exposed country. Now if we were to have some curtailments, we would still be contractually entitled in [indiscernible] to invoice on monthly fees. So that's our contracts then that would help us being resilient. So the question becomes also what could be the impact of curtailment not on our supply, but on our customers, the ones that are using natural gas. Here again, our contracts will come into play with what you already know with the take or pays and the monthly fees. And as we have shown in the past, we should be very resilient even if some of our customers claim force majeure because of lack of natural gas. So at this stage, we think the impact for us should be very, very limited. Our model is very resilient, and we have shown it in the past, and we expect to show it again.
Jerome Pelletan: Thank you very much, Pascal. I will address the second question related to what we see in terms of macroeconomics and the investment pipeline and opportunity. I think clearly, there is a disconnect, I would say, between what we hear and what we see and what our customers are telling us. Clearly, in the past few months, few weeks, we had absolutely no cancellation of any projects. So customers are confirming their projects. I would say the pipeline is probably getting stronger as a matter of fact. If you look at the two main drivers for investment for us, energy transition and electronics, they remain very strong. Energy transition in Europe, I think there has been some uncertainty about the -- of course, the energy situation. But it seems -- and that's what our customers are telling us that this is an opportunity basically to move forward and not only to address, I mean, decarbonization of their processes, but also get more independence in terms of energy supply and also to find some savings in terms of cost. So we are basically ticking all the boxes with the kind of things we can bring being oxygen for oxy-combustion or being hydrogen or carbon capture. So we see a confirmed momentum in the project regarding the energy transition in Europe for sure. I think in North America, the situation is maybe a little bit more contracted. I think the customers starting to really consider and plan for projects. I was on the US Gulf Coast just a few weeks ago. However, the political environment is creating some uncertainty on the subsidies and the direction to go. So maybe there is a question mark there, but we see a pipeline of projects, which is quite active. In Asia, I think regarding the energy transition, we may get some, I would say, positive surprises. I was looking at the situation in China just a few days ago, and it seemed that several Chinese companies are, in fact, investing to decarbonize their processes. So, that's a good news, good news for the planet and good news for Air Liquide, I would say. So again, a strong pipeline of projects. If I finish up with electronics, there again, it's very strong, and I would say it's accelerating. In Asia, where I was last week, clearly, we saw in discussing with customers strong commitment to projects. There will be probably even new projects being announced, not only in Asia, but we have seen that recently in Europe. And just in North America a few weeks ago, we saw that there's a dozen of new fabs, very significant investment, which are in the process of either being decided or being designed or constructed. So, I think it's getting stronger, clearly in electronics, and I think that's a good news. What we may see and what we have seen in some cases is delay not for business reasons, but mostly for the availability of workforce and sometimes supply chain constraint. Here, we are talking about a few months of the delay, not a fundamental challenge on the project themselves. So again, strong pipeline in spite of what we see overall in the economics. So, I think we're quite confident for this. Next question.
Operator: Next question comes from the line of [indiscernible] of Citi. Please go ahead.
Unidentified Analyst: Hi. Thank you for taking my questions. Can I just come back to a question on the management of the energy crisis in Europe? Pascal, I think you talked about the take-or-pay constructural fees, but am I correct in understanding that that's predominantly in large industries. So, if you could please provide some comments on the exposure on the industrial merchant side that would be helpful. And then the second question is around the outlook for the second half for large industries in Europe and also in Americas, the growth in large industry is kind slowed down in the second quarter. I know you talked about the turnaround in America. Is that a trend that we're likely to see persisting into 2H, or should be growth be a little bit more like the 1Q in America? Thank you.
Aude Rodriguez: Good morning. Thank you very much for your question. I will ask Pascal to answer the question on Industrial Merchant and outlook for large industry for Europe. And then I will turn over to Mike for perspective on North America for large industry. Pascal?
Pascal Vinet: Yes. Thank you. So take closes, yes, there are large industries contract. So that's a clear point. What exposure do we have on the IM business regarding the spike in energy prices? I would say we have a global environment exposure because we have demonstrated in the past few months that we can very strongly pass through the energy prices to our customers. So we have done that, and we'll continue doing that. We are very confident about this. So the exposure then is what will happen globally in the economy. So far, we have not seen any strong decrease of any type of market on the IM side in Europe. Volumes have remained reasonably solid. You saw that in our Q2 numbers. So, I think we'll see what the near future is going to be. But so far, we are very confident and we should keep passing through our energy prices. We should keep passing through inflation. I think that's what is happening and has happened already in Q1 and Q2.
Unidentified Analyst: Just to follow-up. So, is the worst force majeures and lack of gas availability -- the gas availability, how does the contract returns work in that sense? I assume your revenue line is exposed on the IM side as you got some a bit more of a stability in the large industry side. There was more -- the concept more around curtailments rather than the price remaining high?
Francois Jackow: Just to clarify, the impact of natural gas on the Industrial Merchant is minimal. There is a very small portion, which is hydrogen supply to IM customer. It's a small business overall. So curtailment of natural gas, a direct impact would be basically a nil for the Industrial Merchant. Keep in mind that the share of energy Industrial Merchant is mostly in the bulk business, where it's 60% of the cost. For the rest, I mean, the share of energy is much smaller overall. And as mentioned by Pascal, we have been very successful in pushing through the price increase overall. So, all-in-all, the impact and the exposure on Industrial Merchant for the natural gas situation in Europe will be absolutely minimum. So, maybe, Pascal, do you want to comment on the outlook for large industry for Europe?
Pascal Vinet: Yes. So far, we don't see a major slowdown. We have seen, as you see in our numbers, a small slowdown in the steel industry. We have seen turnarounds in the chemical industry. And we have seen some refiners turning to light crudes and using less hydrogen to improve the efficiency of their processes using light crudes in the past few months. Is it going to change? So far, we have absolutely no signal about that. But yes, some of our customers are planning contingency plans in case of the lack of natural gas supplies. Those are the big chemical customers having to rely on a lot of natural gas as a supply. We'll see what the near future is. But so far, again, no signal of the slowdown.
Francois Jackow: Okay. Thank you, Pascal. Mike?
Mike Graff: So, I think for the Americas, we actually saw a very strong demand in all sectors. Clearly, that was offset with a number of turnarounds we had in the quarter. And also, there was a high comparable basis given the aftereffects of the freeze events that we had a year ago. But if we look at air gases, whether that's for the chemical sector or it's for steel, demand was very strong. We also saw a lot of strength in hydrogen demand. And -- the reality is we saw a number of startups of our facilities and our customers' facilities throughout the first half and especially in the second quarter. And that's going to continue as we go through the rest of the year. So, we see a lot of strength not only in the current level of business activity. But to the point Francois mentioned, we see a very strong pipeline of business development activity. Again, driven by the energy transition and the next phase of chemicals investment. But we do see continuing strength there.
Aude Rodriguez: Thank you, Mike
Unidentified Analyst: Thank you very much.
Aude Rodriguez: Let's take the next question, please.
Operator: The next question comes from the line of Tony Jones from Redburn. Please go ahead.
Tony Jones: Yes. Good morning, everybody. I have got two. They both are on hydrogen. So you talk about the switch to lighter crude. It seems that it could be structural with this move away from Russian supply. So could you actually, sort of, break out what the exact impact was to Q2 sales and so we can update the model? And how long do you think it might take to offset that with other external growth? And then secondly, on hydrogen, a slightly bigger picture question. With all the big inflation for energy and electricity impacting the cost of hydrogen, could you update us on what you think the cost of blue and green hydrogen is? And do you think that's on any impact on potential investments in the energy transition? Thank you.
Francois Jackow: Thank you very much, Tony for your question. I think the overall, the impact of lighter crude, that's what we have seen in some refineries in Europe, means for us that they need less hydrogen to process basically. And typically, they have been doing some kind of a arbitrage. So that's potentially for us the impact of less hydrogen being used in the process. However, we are seeing this being fully compensated if not surpassed by the hydrogen demand for biorefineries, which is a huge trend that we are seeing all over the world, not only in Europe. And this is making fuels, especially aviation fuels or meeting the regulation like the RED II and the RED III regulation in Europe. So we see clearly that there is a switch. I mean, the bulk of the hydrogen is still using “traditional processes”. But the conversion of many biorefineries or refineries into biorefineries, is clearly creating new need for hydrogen. Overall, your question also on the impact on hydrogen cost, it's quite significant indeed because in hydrogen production, 60%, 70% of the cost is related to fuel cost, natural gas. So you can make your math and your impact. Keep in mind that whenever we are purchasing natural gas, we are not paying the spot price. We are paying, I mean, the price of our portfolio of purchase. We are, as a matter of fact, purchasing in advanced natural gas. That's also what is making us more resilience for the next few months. And we have already purchased most of our natural gas in Europe. So we are not too worried about that. But clearly, that has an impact on the gray hydrogen, on the blue hydrogen also. And then it's making the green hydrogen more competitive. There again, I mean, the cost of electricity today is the first component of the cost of green hydrogen. We see not so much an increase in the cost of renewable electricity, which is used for green hydrogen. So it's making green hydrogen more competitive. As a matter of fact, the expectation is to see that while the renewable capacity for electricity production is going to increase. The cost of electricity is going to decrease. So the cost of green hydrogen is going to be more competitive compared to blue. We are not there yet, but that's clearly the trend that we are seeing.
Tony Jones: Thank you. That’s help. Thank you.
Aude Rodriguez: Thank you very much. We can take the next question.
Operator: The next question comes from the like of Chetan Udeshi of JPMorgan. Please go ahead.
Chetan Udeshi: Yes. Hi. Morning. I mean, I wanted to follow up on on-site or large industries business. And I wanted to clarify previous comments, because I was a bit confused. So can you clarify two things? First, will the take or pay agreement or contract hold if, for whatever reason, L'Air Liquide cannot get taxed and can't supply gas to the customers? So will that take-or-pay agreement hold in that scenario? And second, will take-or-pay hold in a scenario where the customer cannot produce, because they themselves can't get access to gas. Can't they can they evoke a force majeure clause and not pay you the monthly take-or-pay? And I think the question is actually tied up with the numbers that we are seeing in the second quarter, right? European on-site business or large industries business sales are down 10% like-for-like. I mean, that's a pretty big number for a business where it's a take-or-pay agreement. So I'm just confused, like, why are we see 10% decline in sales when you have this take-or-pay agreement with your customer? Thank you.
Francois Jackow: Chetan, good morning. Maybe I will just comment on that, and I will ask Pascal to come back on the clarification on take-or-pay. But regarding the drop in the volume in large industry in Europe, keep in mind that what we have seen is variable volume going down in some industry, as mentioned before. And this is the case for steel in Germany, for example, for refining also, and to some extent, chemical. We have seen turnaround. This is not exceptional, but what we have seen is probably some customers taking the opportunity of a higher energy environment to either make the turnaround in advance, sometimes to make sure that they do all what they can do, to expand a little bit the period, because that's not the best period for them to operate. And we had also, I mean, some impact of a conversion of one contract, especially between as available and fixed term contracted volume, which has an impact on the sales part. So that's what all-in-all is into the minus 10%. We think that in the underlying decrease is probably less than that for the reason that I just mentioned. Pascal, do you want to clarify how the take-or-pays are working in different situation.
Pascal Vinet: Yes. Thank you. Just to be clear, we have two mechanisms. We have mechanism for normal times, if a customer does not consume what is a normal consumption. It can go down to a take-or-pay, and then that customer has to pay that minimum value, which is the take-or-pay. If a customer cannot produce and claim force majeure, we have another mechanism in our contracts, which is to invoice of fixed fee. Okay? So we have two mechanisms typically in our allied contract, in large industries contracts that are protecting our business in case of downturn. The take-or-pay first and then the monthly invoicing second.
Francois Jackow: And typically, even if the customer is claiming force measure, they have to pay this monthly fee. So that's why, again, we think that we are well protected. Just let's put things in perspective because we had a lot of discussion, of course, and a lot of question about the natural gas availability. Again, it's quite focused as explained by Pascal, on some customer and some geography, clearly, I mean, Germany is the number one point of attention. But if you take a group perspective, and we have looked at different scenarios for major curtailment and not availability of natural gas in Europe for customers, we see that the impact for the group will be in the range of 1% to 2%, 1% or 2% of the sales. So again, let's put things in perspective it's quite limited at the scope of the group. Next question
Operator: Next question comes from the line of Laurent Favre of BNP Paribas. Please go ahead.
Laurent Favre: Yes. Good morning. The first question is slightly related to that, it's about your utilization rates, if you could give us an update on the exit run rate of Q2 between Europe and the rest of the world. And I'm asking this, but I'm assuming that if we do end up with lower production of your customers in Europe, because of all of the reasons they may have to produce more elsewhere. So an indication there would be very useful. And that's my second question as a follow-up.
Francois Jackow: Okay. Thank you. Maybe, Mike, do you want to say anything about the utilization rate in North America?
Mike Graff: Sure. I think today, utilization rates are very high. In general, like I said before, we see a lot of strength in chemicals. We see strength in steel. We see a lot of strength in refining from a hydrogen standpoint. So utilization rates are very strong. And even with the new start-ups, as we see the new startups, many of our customers' facilities are ramping as quickly as they can to full utilization rates. So I think it's very strong. It continues to look very strong, and I just don't see a real problem there at this point.
Francois Jackow: Before we go to Europe, just one word on Asia. I think on Asia overall, we see also that the utilization rate is quite high or comparable to what we have seen before. I think the good news is probably on China. Keep in mind that there has been no additional bulk capacity in China in the past few years, mostly because there were very little steel projects. And also there has been all the governmental efforts of China to rationalize the steel industry, which typically is producing liquid access for oxygen and nitrogen. We are at the stage where we are now considering standalone liquid plants for China because of the tight market. So it's really new clearly because until now, there was no standalone equipment in China. All of them were piggybacks from the large industry, but I think that's a sign of a tension in the market and probably a much better balance. Maybe quickly on Europe, Pascal?
Pascal Vinet: Yes. So in Europe, we have not seen any significant change in utilization rates. As mentioned before, what we have seen is a slightly lower activity on the steel side. We have seen turnarounds on the chemical side and less usage of hydrogen on the refineries. We have had – from where I know one customer mentioning rebalancing activity between Europe and the US and favoring a bit Gulf Coast plant. But that's it so far. And on the box side, our utilization rate has remained pretty high. No real change and our volumes are still very solid on the box side. So nothing significant has been seen in the past few months.
Laurent Favre: Thank you. Second question?
Francois Jackow: I think, Laurent, we have quite a bit of question. I'm sorry, and we are close to the end. So maybe we'll take the next question, if you don't mind.
Laurent Favre: Okay. Thank you.
Operator: The next question comes from the line of Jean-Luc Roman [ph] of Cap Market Solutions. Please go ahead.
Unidentified Analyst: Good morning. Thank you for taking my question. I have a question on electronics. Typically, an investment like the one which was announced in call for the new fab. What kind of turnover would it generate for L'Air Liquide assuming you get your kind of normal share of the equipment and gases and everything?
Jerome Pelletan: Jean-Luc, thank you very much for this question. Unfortunately, I don't think we can communicate on this because this is, I would say, confidential information with the customer. Keep in mind that the capacity is going to be some order of magnitude of what is being built today. So it's quite significant. So I will let you – I mean, make your own calculation, but that's privileged information we cannot share.
Unidentified Analyst: Thank you.
Aude Rodriguez: I think we will take the next question please.
Operator: The next question comes from the line of Peter Clark of Société Générale. Please go ahead.
Peter Clark: Yes. Good morning everyone. I’m going west. So it's probably a question for Mike. The Americas margin. I'm just wondering if you think you can grow that in the second half on the basis that the mix obviously is shifting a bit in the IM business, less package, more hard goods -- and it's again, I think a tough comp. And then in Mexico, I presume that was siding up. There's nothing major you've sold there. So those are the 2 little bit questions. Thank you.
Jerome Pelletan: Peter. So indeed, we will let Mike answer your question, Mike.
Mike Graff: Thank you, and good morning Peter. As I mentioned before, industrial volumes are clearly growing. It's led by hard goods. -- but we also see growth in gases as well. And traditionally, when we see hard goods leading, it's normally a sign that there is more to come. As I mentioned before, we see all of the trends being very positive for manufacturing for metal fabrication as well as for construction. The -- as I mentioned before, if you look at fabrication, fabricated metal products are forecast to be easily up 6% or more. If you look at automotive for manufacturing, there's a lot of pent-up demand. And that is forecast currently going forward to grow at about 16%. Even the equipment for transportation in addition to automotive is almost double digit. And automated systems, recognizing the impact of what we see in terms of labor shortages are driving every size customer to rethink automated systems, and we offer not only the capabilities to support the fabrication, but actually some automated systems as well. for our smaller customers. So I think that's very strong. I mentioned the construction starts being up. And if you consider the level of new investments announced – there are 30 battery EV plants that have been announced this year. The top 10 accounts for about €25 billion in new investment Francois mentioned the 12 new fabs. In addition, there's four expansions. So there's a total of 16 fab-related investments that have been announced. For LNG facilities this year, there has been an announcement that would total roughly $100 billion in new investment. And then we still have the Bipartisan Infrastructure Act yet to come, and there will be strong impact there. So actually, we see good momentum. We see a lot of strength, the fact that we see hardgoods leading doesn't bother us at all. It actually is a sign that maybe some of our customers are getting ready to do more.
Francois Jackow: Thank you very much, Mike. We can take the next question.
Operator: The next question comes from the line of Andreas Heine from Stifel. Please go ahead.
Andreas Heine: Yes. Good morning. Two questions, if I may. The first is on electronics, which is very strong growth -- as far as I know, especially the carrier gases have also energy transfer clause. Could you elaborate a little bit how much of this very strong growth is related to these energy and what is, let's say, underlying and sustainable -- and maybe one word also on health care. If you split out a little bit what you can see as a trend in home care compared to the medical gases, which are going down, and we have some quantification on these two different trends. Thanks
Francois Jackow: Thank you very much. Since we are reaching the end, we'll try to make a quick answer, Mike, on the electronics
Mike Graff: Sure. Andreas, very simply for the majority of our carrier gas business, our customers supply the energy. So there is really little escalation to any in terms of that growth. The growth is clearly driven buying new volumes and new start-ups. And we had roughly €2 billion in new investments over the last five years, I should say, and we've got a very, very strong backlog of new projects. So that growth trajectory is very strong in carrier gases year-to-date, and we'll continue to be that way.
Francois Jackow: Just quickly on the health care business. So we see the medical gas business normalizing in terms of volume, we knew that. But clearly, what is new is we see positive pricing for the first time, first time in a long, long time, long history, not new in North America, but clearly, this is something which is new in Europe and that's a positive news. For the Home Care, we see still a very strong momentum, and that's both organic growth and opportunities for bolt-on acquisition, this is true in advanced countries, but also in developing countries. So we are very confident about the underlying trend in Home Care. The fact that we develop value-based home care with new ways to really -- I mean, get the reimbursement based on outcome using and leveraging digital is a very strong point for us and is putting us in a good position. So maybe we take the last question, I believe
Operator: And last question is coming from Jean-Baptiste Rolland of Credit Suisse. Please go ahead. 
Q – Jean-Baptiste Rolland: Good morning. Thanks for taking my questions. I just wanted to ask about quickly about this contract, big contract, I guess, in large industries, in the petrochemicals, where you have seen a reallocation of volumes between Europe and the US. Can you confirm these – I mean could you tell us where these volumes have been booked, whether they've been booked in the US region or where because this is originally a take-or-pay contract in Europe, whether this is actually still books in Europe? And second question on the monthly fee. Could you give us a sense of what share of the costs between sales and EBITDA does it typically cover? Thank you.
Francois Jackow: Quickly to clarify on the first one. What we said is that, we have entertained some discussion with customers, which are considering shifting volume for new projects. For the existing one, I think we don't know we see the petrochemical industry in North America and especially in the US Gulf Coast, which is working fine. So, we assume customers are doing their own arbitrage for many reasons.  Since we have two strong position in northern part of Europe and on the US Gulf Coast, I think we benefit one way or the other. But -- for the rest, this is just a discussion actually of customers who are considering for their future plan, investment location, either in Europe or in the US Gulf Coast. So that has no impact today on the split between the regions. For the monthly fee, I mean, typically, the monthly fee is covering all the fixed costs that we have, plus, of course, part of the profit that we are making. So that's how it is. It varies from one contract with another one, but that's the general rule.
Francois Jackow: I think with this, we will conclude the session. So maybe just to summarize. In the first half, we have been able to reinforce clearly our resilience, focusing as you have seen on performance, but also, and I think it's quite important, positioning ourselves on the growth markets. I am confident that we will continue to deliver a strong performance in the second part of the year with concrete progress in energy transition and in electronics, especially. So with this, I would like to really thank you very much for your attention. I know it's a busy period. So, I wish also a very good summer to all of you. And for the ones who are taking some vacation, I wish you a good vacation and we will speak to you soon after the break. Thank you very much.
Operator: Thank you for joining today's call. You may now disconnect.